Operator: Good morning, and welcome to IPG Photonics’ Second Quarter 2011 Financial Results Conference call. Today’s call is being recorded and webcast. (Operator Instructions) At this time, I would like to turn the call over to Angelo Lopresti, IPG’s Vice President, General Counsel and Secretary, for introductions. Please go ahead sir.
Angelo P. Lopresti: Thank you and good morning everyone. With us today is IPG Photonics’ Chairman and Chief Executive Officer, Dr. Valentin Gapontsev, and Vice President and Chief Financial Officer, Tim Mammen. Statements made during the course of this conference call that discuss management’s or the company’s intentions, expectations or predictions of the future are forward-looking statements. These forward-looking statements are subject to known and unknown risks and uncertainties that could cause the company’s actual results to differ materially from those projected in such forward-looking statements. These risks and uncertainties include those detailed in IPG Photonics’ Form 10-K for the year ended December 31, 2010 and other reports on file with the Securities and Exchange Commission. Copies of these filings may be obtained by visiting the Investors section of IPG’s website at investor.ipgphotonics.com/sec.cfm or by contacting the company directly. You may also find copies on the SEC’s website at www.sec.gov. Any forward-looking statements made on this call are the company’s expectations or predictions only as of today, August 2, 2011. The Company assumes no obligation to publicly release any updates or revisions to any such statements. We will post these prepared remarks on our website following the completion of the call. Please go to www.ipgphotonics.com and select Investors to review these remarks. I’ll now turn the call over to Dr. Valentin Gapontsev.
Valentin P. Gapontsev: Good morning everyone. IPG delivered another record quarter, with all time high revenues and net income. Revenues of $121.9 million grew by 81%, while net income came in nearly 200% higher than the same quarter in 2010. Although last year’s sales performance was impacted by poor market conditions, we increased sales over both our strong Q1, 2011 by 22%. We also improved gross margin year-over-year to 54.7%, and reported earnings of $0.63 per diluted share. We continued to experience strong demand momentum across all regions, particularly in Europe, China and North America. Sales grew by 92% in Europe and 60% in North America. For the second consecutive quarter, China was the standout performer from a geographic perspective, reporting an impressive 129% increase over last year. Sales for materials processing applications grew by 88% and accounted for nearly 89% of total sales for the quarter. Fiber lasers used for welding, cutting, cladding, marking and engraving are most in demand. IPG’s high-power and pulsed lasers remain our top sellers. High-power laser sales, which make up approximately 45% of our total sales, grew 134% from last year, while pulsed lasers, which account for 28% of the total, increased 52%. The performance for the first half of 2011 has been very strong, with demand growing across most geographies, end markets and products. We are at an exciting point in time for IPG, as companies worldwide are rapidly adopting fiber lasers and migrating away from conventional lasers as they realize the impressive benefits of our products. We mentioned until on last quarter’s call that there were numerous OEMs demonstrating cutting systems using IPG’s lasers at last year’s EuroBLECH show in Hanover Germany. At that show, there were four cutting OEMs that were demonstrating systems they did not use IPG lasers. At the time of the call, three had already stated their intention to switch over to IPG. In Q2, two of those companies began placing orders for IPG lasers. This is not a unique case. We frequently see companies evaluate competitive products and then a return to IPG. In addition to our size, power and capability advantages, IPG’s abilities to mass manufacture tens of thousands of units of low-power lasers and thousands of units of high-power lasers for customers at cost effective prices are unmatched. We believe that this manufacturing capability is helping to sustain the competitive advantage created by our superior technology. Besides our growing number of OEM systems customers, we are also witnessing growing interest in our ultra-high power fiber lasers for unique projects that take advantage of the unique features of fiber laser technology. Some interesting projects we are engaged in include nuclear facility demolition, oil well fire suppression, thick pipe welding, construction works and high-speed cladding. Development of these applications takes time, but we are seeing growing interest in our ultra-high power fiber lasers that expand the total available application uses of lasers. With that, I’ll turn the call over to Tim Mammen.
Timothy P.V. Mammen: Thank you Valentin and good morning everyone. I’ll start with a review of our end markets, products and geographic regions. After that, I’ll follow with a summary of our income statement and balance sheet, and close with our guidance. Materials processing, which accounted for approximately 89% of total sales, increased 88% year-over-year to $107.9 million, and increased 25% from the sequential first quarter. The most significant materials processing applications for fiber lasers are marking, cutting, welding and cladding. Advanced applications sales increased to $6.3 million, or by 16% year-over-year, but were down sequentially by 24%. Sales to this end market can be uneven due to the timing of research and development projects and their funding. The telecommunications market increased 175% year-over-year to $5.9 million, and by 83% sequentially from Q1. Sales of fiber-optic equipment in Russia for long-haul, broadband access and Cable TV were very strong during the quarter. We are also selling telecom equipment in different geographies, such as Western Europe and South America. Medical sales declined by 23% year-over-year and 10% sequentially to $1.9 million. We continue to work toward expanding our OEM customer base in this application. Turning to our performance by product line, high-power lasers continued to drive sales as the number of OEMs adopting high-power fiber lasers has grown. High-power sales increased 134% year-over-year and 24% sequentially to $55.1 million. High-power laser sales to the auto industry, particularly in the U.S. and Germany, for welding applications were strong. We also have seen an increase in welding orders for high-power lasers to aerospace, locomotive and ship building customers. Many welding and cutting customers are eager to implement this new technology due to its performance, reliability and electrical efficiency. In cutting, we dramatically increased our position, including establishing a substantial position in flat bed cutting, and our share of sales into this application is growing rapidly. Our goal is to ship more than 1000 lasers for cutting this year. On last quarter’s call, we mentioned that our new laser seam stepper system was under qualification at a major European automaker. The seam stepper is a welding system that combines our fiber laser with the welding apparatus. This results in robust welds on automobile structural parts, called body-in-white, at half the electrical cost and replaces two conventional welders. During the second quarter, we received final qualification that allows for the orders of these products from the customer. We plan to introduce this product in other geographies and to other customers. Pulsed laser sales increased to $34.7 million, or by 52% year-over-year, and by 21% on a sequential basis. Much of the increase can be attributed to growth in general manufacturing, particularly for marking and engraving applications in China. Sales of medium power lasers increased to $8.4 million, or by 74% year-over-year and 13% sequentially. Medium power lasers are primarily used in microelectronics, printing, consumer, solar and sintering applications. Sintering and printing applications showed impressive growth during the quarter. Also, we see growing interest in the use of our lasers for battery welding from various customers in Southeast Asia, and we believe that laser sales for this application could increase substantially in the next year or so. Recently, IPG developed special air-cooled 1 and 2 kilowatt fiber lasers to meet the unique needs of battery welding applications. Low-power laser sales of $4.7 million were down 2% year-over-year and were flat sequentially. Low-power laser sales are primarily used for medical and micro materials processing applications. Sales of QCW lasers, which are used for consumer and micro-processing applications, were up 140% compared with last year and 91% sequentially. This new product line has had a successful launch and we expect it to become a more meaningful contributor to sales. Since its launch last year, we have attracted significant interest from a number of OEMs and end users. The QCW competes with high-power flash lamp pumped YAG lasers. Sales of other products, which include amplifiers, diode lasers and certain components, increased 77% year-over-year to $8.5 million and by 33% sequentially. Service, parts, lease and other revenue totaled $7.6 million. I will now review our major geographic regions. Geographic performance was strong in all regions during the second quarter. As Valentin stated earlier, our standout regions for the quarter were North America, Europe and China. European sales increased to $44.2 million, or by 91.6% year-over-year and 12.8% on a sequential basis. Sales to major OEM customers and their suppliers for welding applications drove much of the growth in Europe. In Germany, IPG’s lasers are being used by large auto manufacturers for uses such as car seat and aluminum door welding. In addition, European sales are benefiting from strong demand for marking and engraving and printing applications. In Russia which is included in our European sales, telecom and industrial sales were strong during Q2. We have a new OEM integrator in Russia which supplies systems to the shipbuilding industry that is using IPG’s lasers for cutting applications. Like the rest of Europe, Russia has experienced an increase in laser sales for marking and engraving as well. We are also developing a complex and ultra-high power system for in-the-field welding of pipelines in Russia. North American sales increased to $25.3 million, or by 60% on a year-over-year basis, and grew by 47% from the sequential first quarter. High-power laser sales to the North American auto industry for welding and also to cutting OEMs have improved substantially, contributing to much of the second quarter growth. The U.S. auto industry continues to invest in new models and new production techniques which are contributing to the U.S. high-power laser sales. Asian sales increased to $52.0 million, or by 86% year-over-year and 20% sequentially. China had a record quarter, with sales growing 129% year-over-year and 52% sequentially. We are seeing an increasing number of sales in China for cutting, welding and more complex marking and engraving applications, as well as opportunities for growth in consumer electronics. Japan also continued to perform well, with sales up 74% year-over-year, due mostly to welding applications. One exciting development in Japan this quarter was a demonstration by an OEM cutting customer using an IPG fiber laser with a special cutting head. The customer cut 32 millimeter steel successfully using the IPG laser. This is an important milestone achievement because CO2 lasers are still seen as the preferred laser for thick steel cutting. This OEM is now going to target replacing CO2 for thick steel cutting in Japan. Also in Japan, I want to note a few significant competitive advantages that IPG’s lasers provide to our customers. First, with serious power shortages in Japan, the energy efficiency of our lasers are very important to many Japanese customers now. Secondly, IPG recently completed a vibration testing qualification for operation in earthquake-prone areas. These speak volumes about the energy efficiency and robustness of our monolithic devices in demanding environments. We also had a major win in Japan with a major auto manufacturer who qualified our high-power lasers for body-in-white welding using a unit they had previously purchased. We expect to receive orders from them in Q3 and beyond. Japan was down 15% sequentially as a result of the seasonality relating to the Japanese fiscal year-end, and to some extent, the disasters that occurred in Q1. However, we utilized the excess capacity in that region to ship orders to support demand in other countries. Now turning to the income statement. Total sales for Q2 increased 81% year-over-year and 22% sequentially to $121.9 million which, as Valentin mentioned, was a record high for IPG. Gross margins improved 9.4 percentage points to 54.7% from 45.3% in Q2, 2010 and were up slightly from 53.7% in Q1 2011. As our sales volumes increase, we are seeing better absorption of fixed costs. In addition, we continue to generate leverage in our business model. We have been working to further reduce the cost of our packaged diodes and other components, and to produce additional parts and components in house which we outsource now. SG&A expenses in Q2 were $14.2 million, or 12% of sales, compared with $12.3 million, or 18% of sales, in the second quarter of last year. The IMRA trial is now set to begin on September 26, 2011. During Q3, we will have significantly higher legal expenses relating in part to the trial and trial preparations. The trial is expected to stretch into Q4, but most of the spend will occur in Q3. We look forward to the opportunity to present our several defenses in this lawsuit. R&D expenses increased year-over-year on a real dollar basis by 40% to $6.6 million, but were down as a percentage of sales to 5% of total revenues versus 7% for the second quarter of 2010. We focus our research and development efforts on designing and introducing new and improved standard and customized products and also on the mass production of components that go into our products. We also aim to expand our product line by developing integrated systems, increasing power levels, improving beam quality and electrical efficiency, decreasing the size of our products and lowering the cost per watt. Operating expenses include a $0.2 million net foreign exchange gain during the quarter compared with a gain of $2.3 million during the same period last year. Total operating expenses for the second quarter of 2011, excluding the effect of foreign exchange gains and losses, were $20.8 million compared with $17.0 million for the same period last year. Second quarter operating income was $46.1 million, or 38% of sales, compared with $15.7 million, or 23% of sales, in the second quarter of last year. Operating income includes stock-based compensation charges of $1,694,000 and $793,000 in the second quarters of 2011 and 2010, respectively. Stock-based compensation increased because of the higher fair value of options and restricted stock units issued in the second quarter of 2011. In the second quarter of 2011, $363,000, $1,074,000 and $257,000 of stock-based compensation charges related to cost of sales, SG&A and R&D, respectively. Going forward, we expect quarterly stock-based compensation to be approximately $1.7 million per quarter for the remainder or 2011. Our tax rate for the second quarter of 2011 was 30.5% and 30.7% for the year-to-date. Net income attributable to IPG came in at a record high, increasing 198% to $30.7 million compared with $10.3 million a year ago. On a per diluted share basis, we reported $0.63 in Q2 2011 compared with $0.22 per share in the second quarter of 2010. We estimate that if exchange rates had been the same as one year ago, sales in Q2 2011 would have been $7.4 million lower, gross profit would have been $3.6 million lower and operating expenses would have been $1.0 million lower. Now, turning to the balance sheet. Our cash and cash equivalents increased by $27.6 million sequentially to $188.2 million at the end of the second quarter of 2011. This includes $20 million of proceeds from the investment in our Russian subsidiary through the exercise of a previously issued warrant. At June 30, inventory was $109.3 million, up 51% from year end 2010, including the translation effect of foreign exchange. Our current level of inventory remains within our target range of less than 180 days. Accounts receivable were $73.3 million at the end of the second quarter, or 54 days’ sales outstanding, compared to $55.4 million at December 31, 2010, or 49 days’ sales outstanding. Cash generated from operations in the first six months was $27.0 million. Capital expenditures for the first six months of 2011 totaled $22.8 million, which is on track for our target of $50 million for the year. During the quarter, we purchased land in Russia, where we plan to build a new fiber facility. Later this year, we expect to expand capacity in Germany, Russia and the U.S. and to enhance our sales and service infrastructure with new facilities in China, India and Japan. We also plan to add front end diode capacity in the U.S. by the beginning of 2012. That leads us to our expectations going forward. The acceptance of fiber lasers is now well established, and has set the foundation for the impressive high-power and pulsed laser demand we have seen in recent quarters. As we enter the second half of the year, we expect to experience continued broad-based geographic, application and product demand. However, we are aware of and sensitive to macro-economic factors that, to date, have not affected our outlook. We will continue to invest in R&D and our service organization to extend our technology superiority and market leadership position. We also plan to invest in building capacity to meet future growth in demand. And finally, we will continue to leverage our infrastructure to further improve our margins and profitability. Now, let me provide you with our guidance for the upcoming quarter. For the third quarter of 2011, IPG Photonics expects revenues in the range of $120 million to $130 million. The company anticipates earnings per diluted share in the range of $0.56 to $0.68. That is based on 48,610,000 diluted common shares, which includes 47,310,000 basic common shares outstanding and 1,300,000 potentially dilutive options at June 30, 2011. Expected earnings per diluted share for the third quarter reflect higher spending in the quarter in connection with the upcoming patent litigation trial commencing in 2011, and an increase in net income attributable to the redeemable, non-controlling interest following the exercise of the warrants in the second quarter of 2011. This guidance is subject to the risks we outline in our reports with the SEC, and assumes that the exchange rates remain at present levels. I want to reiterate that we do not attempt to forecast gains or losses related to exchange rates. And with that, we will open the call up for your questions.
Operator: (Operator Instructions) Thank you. Our first question is from Tom Hayes of Piper Jaffray. Please proceed with your question.
Thomas Hayes – Piper Jaffray: Thank you. Good morning, gentlemen.
Timothy P.V. Mammen: Good morning, Tom.
Valentin P. Gapontsev: Good morning.
Thomas Hayes – Piper Jaffray: I just wonder if you could maybe give some thoughts on where we are on the penetration rates of fiber and to the welding and cutting markets. It seems to be certainly a focus area, I’m just wondering, how far long we are on general thoughts on penetrating that market?
Timothy P.V. Mammen: In terms of welding, I think our view is, sort of it won’t give an exact number, but just about all of the lasers being sold for high-power laser for welding and probably fiber lasers. I think if you look in terms of more of a longer-term trend, the view is that, fiber will get probably 70% if not more of the welding market, but the welding market will grow substantially. I’d say that in terms of penetration and welding, we’re well over 50% already. In terms of cutting, I think our target in the nearest-term is to get to at least 20% to 25% market share; we’re well on our way to get to that. I think we’ve stated, we got ourselves more than a 1,000 lasers for cutting applications. And then, market view there probably three years go might be the fiber might get to 30% of the market share. Our view now is that we get to well over 50% in the next few years.
Thomas Hayes – Piper Jaffray: Great, thank you. I’m just wondering, if maybe provide a little bit of clarity as how much expense for the lawsuit is actually baked into the guidance?
Timothy P.V. Mammen: The operating level, we have approximately an additional $2 million.
Thomas Hayes – Piper Jaffray: Great, thanks. And just lastly, you commented on last quarter that you’re seeing a increase in the OEMs as far as they’re ordering greater quantities. Is that accelerating through the quarter, or did you say roughly the same?
Timothy P.V. Mammen: I’d say, it’s roughly the same. We’ve had some new customers though. So the rate of ordering from the existing OEMs on the cutting applications is accelerating maybe a little bit, but also we’ve seen increases as we mentioned from some of the new OEM customers starting to place orders. We do think that the, for example progress made in Japan to cut thicker materials will start to drive some additional orders in Japan in the coming year. I'd say in China on high-power cutting, we’ve actually seen more of a pickup in our ability to deliver lasers. The orders have been waiting for deliveries in China on high-power cutting and welding.
Valentin P. Gapontsev: Greg. We bought new customers in Turkey, Brazil and other geographies.
Thomas Hayes – Piper Jaffray: Great. Congratulations on that outlook.
Operator: Our next question is from Paul Thomas with Bank of America Merrill Lynch. Please proceed with your question.
Paul Thomas – Bank of America Merrill Lynch: Good morning. Thanks for taking my questions. I guess, first off, congratulations on the strong results and guidance. You mentioned that $2 million for the IMRA trial, should we be thinking it about in terms of 3Q guidance that gross margins might be up a little bit from here or is it going to be flat or how should we look at that?
Timothy P.V. Mammen: Depending on the bottom of the range we're modeling gross margins at about 53%, which would be a slightly low at the top of the range probably at 54.5%. So I’d say those are in approximately inline. I don't view 1% of change given the product mix and other factors that can affect us related to absorption. I’d say we’re in line.
Paul Thomas – Bank of America Merrill Lynch: Okay. Thank you for that. And then on China revenues in the quarter were about $32 million. Is that right?
Timothy P.V. Mammen: They're just, I think just under $30 million.
Paul Thomas – Bank of America Merrill Lynch: Just under $30 million. And then on the last call, you had commented you thought that China could be up 30% in total for this year, just wanted to get your thoughts with respect to that now half way through the year, do you still think it’s in that range, above that range or how do you think about that now?
Timothy P.V. Mammen: I think already, I mean China will be up more than 30% for the full year. I can't comment on what performance in Q4 will be that we’re seeing, we’ll have a good quarter in Q3 in China as well. So definitely over a year, we’ll be up 30%.
Paul Thomas – Bank of America Merrill Lynch: Okay and then, lastly, a quick update on the capacity build out. So your revenue was about $122 million and you added about another $20 million in inventory. Where do you think your revenue capacity is now and you feel like you’re ahead of your plan or are you on track with your plan to get to, I think it was $150 million in quarterly revenue capacity?
Timothy P.V. Mammen: I would say we’re on track with our plan and in Q2, some of the inventory build was actually purchases of long lead time components as well as additional production of both components and finished product. I think one of the achievements we made in Q2 was actually to reduce lead times on high-power lasers bringing them back more in line with our eight week target. So that was a major accomplishment. In terms of the capacity additions, I think our process of adding capacity is going well.
Paul Thomas – Bank of America Merrill Lynch: Okay. Thank you very much.
Operator: Our next question comes from Jiwon Lee with Sidoti & Company. Please proceed with your question.
Jiwon Lee – Sidoti & Company: Yes. Just one clarification question on the guidance front, the non-controlling interest how much of income is taken to the guidance?
Timothy P.V. Mammen: $0.03 I would put above $1.5 million in that Jiwon.
Jiwon Lee – Sidoti & Company: Okay. Terrific and then another one on the thick cutting metal the OEM in Japan I believe it’s an auto OEM in Japan replacing the CO2 lasers. Could you give us a little background as to how you went ahead and won that business?
Timothy P.V. Mammen: The thick metal company is not an automotive company, it is a system supplier of different size of cutting equipments including flat bed, they developed a special cutting that have to cut thick metals using the fiber laser. So it’s in early stages of well they proved it out conceptually and we don’t have a lot of other information about how quickly that business will develop. They maybe supplying it to the automotive industry but thick metal cutting is not traditionally a automotive application.
Jiwon Lee – Sidoti & Company: Okay. Terrific. And do you have any idea about the size of at least the initial business from this opportunity?
Timothy P.V. Mammen: No we do not really.
Jiwon Lee – Sidoti & Company: Okay. And I just kind of wanted to ask about the visibility, the order visibility, obviously you’re guiding very strong September quarter number compared to maybe about a quarter ago whether or not you feel that you have sort of a similar level of visibility into your business now?
Timothy P.V. Mammen: That means the visibility into Q3 remains strong. In terms of the tone within the company I’d say we’re not as gun always we were at the beginning of the year or exiting a lot. I don’t think anybody is given all of the macro economic indicators that are out there. I think some of our competitors said it’s very difficult to determine at the moment whether we’re seeing some seasonal adjustments on inventory or just some caution by customers whether we’re going to enter a period where the macro economic factors are going to impact the longer term purchase of lasers. So it’s just too early to make any conclusions there. So I would say we are monitoring things very closely and we are being more cautious in the way we are planning and looking at the business.
Timothy P.V. Mammen: Fair enough. And last thing from me anything that kind of jumps out in terms of the pricing front, your competitors wise especially.
Valentin P. Gapontsev: We haven’t seen any fundamental shifts on pricing at all I think that the thesis that we have with directly competitive on an upfront basis with just about moving to laser technologies continues to hold and – and we haven’t seen any disruptions in product pricing in the market.
Jiwon Lee – Sidoti & Company: Okay, I will hop of the queue for now. Thank you.
Operator: Your next question comes from Mark Douglass with Longbow Research. Please proceed with your question.
Mark Douglass – Longbow Research: Good morning gentlemen, nice quarter and congrats on the proper pronunciation of aluminum. Can you talk about the system that you’re building, looking to build is a more integrated welding, cutting type things like that or you thinking higher entire systems whether would be marking systems, cutting systems or the like.
Timothy P.V. Mammen: We are making a move into far more integrated systems except in very specific geographies we are unlikely to go into 2D couplings systems to compete with our main OEMs. We are not going to do mass manufactured marking systems using pulsed lasers when we have 10s if not more than a 100 OEMs producing those systems we are going to produce systems particularly in the welding area whether lots of OEMs may be some specialty cutting systems for applications using our QCW is that kind of area Valentin probably has some more stuff to say on that as well.
Valentin P. Gapontsev: We are working integration especially for new application there are lot of opportunities not only in (inaudible) for well established market segments like 2D cutting it’s we don’t try to compete with our integrators.
Mark Douglass – Longbow Research: Okay thank you. And then Tim you mentioned stepped up, is the stepped up investment in R&D in relative to second quarter or is it general comments versus (inaudible).
Timothy P.V. Mammen: I think they are general comments that R&D has increased in absolute terms by 40% and we are continuing to invest in those areas whether it would be on the component side or in terms of developing systems where we are integrating our lasers is the engine in the complete system. For example reducing the material cost on diode packaging has been a focus this year, redesigning some of our modulators for the pulsed lasers to make them more efficient to manufacturing. So it is whole host of different areas but we don’t expect to see a fundamental step up, we’re continuing to innovate across the components of product line.
Mark Douglass – Longbow Research: Okay is it around the kind of 5.5 percentage range of sales?
Timothy P.V. Mammen: Probably in the longer-term it’s a little, as I’ve said, operating expenses at the moment, given the rate of growth of sales are probably a bit below the longer-term trend level, I mean at 18% it’s at a very low as a percentage of sales, I think with operating expenses in the longer-term will be 20% to 22%, but in the near-term, it’s difficult to suddenly go out there and hire very well qualified sales, or R&D people to meet the needs of the customer, the company you have to do that on a plan basis.
Mark Douglass – Longbow Research: All right.
Valentin P. Gapontsev: (Inaudible) it’s R&D expense it’s usually much less in our competition here, but it does mean that we not thrown in R&D. That is how the way – much more efficient with bringing much less expenses we make in much more efficient, much more intensive development many people can observe.
Mark Douglass – Longbow Research: All right. And then finally, any interest in accelerated share repurchases at this point or you’re much than conserving the cash?
Timothy P.V. Mammen: We are not going to enter into any share repurchases at this point in time.
Mark Douglass – Longbow Research: Okay. Thank you.
Operator: Our next question comes from Jim Ricchiuti with Needham & Company. Please proceed with your question.
James Ricchiuti – Needham & Company: Okay, thank you. Tim, I was wondering if you might give or put a dollar number to that goal that you’ve talked about of having 1,000 lasers this year. I assume high-power lasers for cutting applications?
Timothy P.V. Mammen: No, I think it’s difficult to do at that kind of different power levels. I haven't extrapolated it out fully and I think it certainly gets into giving slightly longer-term guidance. Jim, I think that if you look at that in terms of market penetration there for cutting applications, it’s online for our targets to get to more than 20% of the market.
James Ricchiuti – Needham & Company: Okay. And Tim, how is it tracking in the first half of the year, how – in terms of the progress you’re making?
Timothy P.V. Mammen: Let’s say we’re on target for that.
James Ricchiuti – Needham & Company: And is that up significantly from a year ago?
Timothy P.V. Mammen: Yes it is.
James Ricchiuti – Needham & Company: Okay, okay.
Timothy P.V. Mammen: Very significantly.
James Ricchiuti – Needham & Company: You’ve talked, you and Valentin have talked about ultra high-power fiber laser applications. Is that – I’m wondering if you can give us a sense as to how meaningful that is from a revenue standpoint now or potentially not so much now if it’s not, but looking out at 2012?
Timothy P.V. Mammen: Now, I’d say the ultra high-power stuff is some of it’s actually being integrated into complete systems, it is running anywhere from 1% to 3% of revenue and you’re talking about lasers in the power level of 10 kilowatts to 30 kilowatts. Difficult to say in 2012 you want to be selling instead of maybe one unit a quarter or two you may be looking to double that. So it depends as well how quickly the other business grows. In absolute terms, I think we’d like to see that business double within the next year.
James Ricchiuti – Needham & Company: Okay. And last question from me, just with respect to, if we see a more concern on the macro level. Typically do you see it more in the lower power lasers for marking? I’m just trying to get a sense as to where you might see it, if we see some deterioration on the macro economic front?
Timothy P.V. Mammen: Yeah, I think you start to see it on some of the lower value adds applications like marking and engraving, and also in areas where fiber is already well penetrated in the adoption rates are a bit lower.
James Ricchiuti – Needham & Company: But based on what you see right now including the bookings levels that you’re seeing in July and the first month of the quarter, is it fair to say you’re not seeing any of that yet?
Timothy P.V. Mammen: I think we’re cautious. I mean, the greater growth in bookings has probably slowed down, that we remain, I mean we’re cautious, but we’re also getting into this funny season of seasonality as well. So you know there is a lot of, the penetration for example into the auto industry and the US where we’re qualified with just about every single company and they’re not really buying anybody else’s lasers from what we can hear. It just depends as to whether they continue on the high power side to make those investments right now. Pulsed laser sales in China we’re at, we’ll vary off and we keep an eye on those. One of our major OEMs there is starting to talk about a new contract though. I’d say our Chinese people are a little bit more cautious on the pulsed laser sales right now.
James Ricchiuti – Needham & Company: Okay. That’s helpful.
Timothy P.V. Mammen: We don’t have an updated points right now.
James Ricchiuti – Needham & Company: Okay. Fair enough. Thank you.
Operator: Our next question comes from Olga Levinson with Barclays Capital. Please proceed with your question.
Olga Levinson – Barclays Capital: Hi, thanks for taking my question. Just to follow-up on some of kind of the longer term targets for the company. You lay down a pretty good plan on the cutting side, within welding it does, although fiber lasers are the majority of the current laser shifts. Can you talk about over the next few years how big do you think the welding laser market will grow and do you expect fibers to grow as a percentage of that or maintain the current majority of share?
Timothy P.V. Mammen: I think the welding market is something about $250 million at the moment. In the next five years, we would like to see that grow to sort of $750 million. There is really a huge amount of investment being done into looking and replacing traditional welding techniques, because they are not as efficient in the quality of the weld is a lot worse. For example, when we talked this full in the automotive industry you get a better structure integrity, you could reduce the way to cost, improve the fuel efficiency, clearly all of this talk now are going to average fuel efficiency requirements, which you’re going to double in the US. It is really going to help and play into the fiber laser welding ability to quality of the welds that we get even compared to some of the other solid state lasers because of the unique characteristics of the beam really help us as well. So we’re not understating things when I think that fiber is going to be 70% of that market, I mean the question remains as that why would anybody continue using another type of solid state laser or CO2 laser to weld. So I really think it’s more a question of how quickly that market grows rather than where the fibers penetration is going to be less than 70%.
Valentin P. Gapontsev: I think the welding market is the fiber, on laser welding market now is the only in the starting phase of interaction so it’s during the next five, 10 years it would be the [shelf] on laser welding will increase dramatically.
Olga Levinson – Barclays Capital: Got you. And then specifically to the gross margin introductory into the second half of the year, you’ve definitely built out some inventory over the last few quarters and as part of the effort to reduce the lead times. If we assume kind of heading into the fourth quarter or beyond that actual top line remains steady and you do begin to see some inventory reduction, how do you think about gross margins there or what kind of range are you thinking about?
Timothy P.V. Mammen: I think the absorption is benefiting gross margins at the moment between 2% to 3%. You can see the abortion come down and inventory consumption go up. But the other way you moderate that is by you know when you’re absorbing you’re absorbing your indirect labor and material cost, so you can manage the expense side as well as the production side.
Olga Levinson – Barclays Capital: Got it. Thank you.
Operator: Our next question is from Avinash Kant with D.A. Davidson. Please proceed with your question.
Avinash Kant – D.A. Davidson: Good morning, Valentin and Tim.
Valentin P. Gapontsev: Good morning.
Timothy P.V. Mammen: Good morning, Avinash
Avinash Kant – D.A. Davidson: So in the past you’ve talked a little bit about your bookings pattern and would you be giving us some color on bookings versus the book-to-bill above one or below one and also within the bookings, could you talk a little bit about the regional trends like any particularly region doing better in booking terms.
Timothy P.V. Mammen: Book to bill was just slightly below one in Q2. I think that’s a reflection of really very strong revenue performance or its actually not disappointed with the bookings number relative to the revenue that we managed ship out. I mentioned that we’d reduce some lead times so we were able to get product out in the high-power level both in North America and China. In terms of the geographic trends, I think the main, the strength is Europe both in the North in the cutting, and the South on the cutting business. We’ve seen, in Q2, continued strong performance in North America, high-power business in China for both cutting welding and also heavy industry applications continues to be strong. And in Japan, the order flow had started to pickup in Japan towards the end of the quarter. Through the first month of the quarter as I mentioned, I think that if we saw the same trend that we’ve seen at the beginning of the year will be much more (inaudible) about the direction of the business in the second half of the year. We remain cautious in terms of the rates of growth right now, given what’s happening in the US and also some of the tightening in fiscal policy in China.
Avinash Kant – D.A. Davidson: But from the comments that you’re making, it looks like July still is up from the June quarter levels though, but at a slower pace?
Timothy P.V. Mammen: No, I’ve said that rates of growth had slowed on the order, but we’re also into the seasonality, July and August can be very slow on orders as well.
Avinash Kant – D.A. Davidson: Okay. And talking a little bit…
Timothy P.V. Mammen: We’ve got some very strong weeks, and then weaker weeks, I mean for example, a lot of the auto industry in the US have been shutdown for two weeks on summer holidays.
Avinash Kant – D.A. Davidson: Okay. And talking a little bit about the diode prices that you have been able to bring it down to and also the capacity addition really have in early 2012. How should we think of capacity and pricing in that side?
Valentin P. Gapontsev:
Avinash Kant – D.A. Davidson: Okay.
Valentin P. Gapontsev: And in the long-term this volume also impact the decrease of price together without the (inaudible) means we used to decrease price [those].
Avinash Kant – D.A. Davidson: So basically 5 megawatts last year to roughly 12 megawatt this year and then next year you’re planning on 20?
Valentin P. Gapontsev: Right.
Avinash Kant – D.A. Davidson: Okay. And one final question. could you talk a little bit about some of the new products like the QCM or the Laser Seam Steppers and, what’s the order of magnitude from these products right now?
Timothy P.V. Mammen: QCW is still relatively full, but the interest in it is growing. QCW sales were I think about $1.5 million during the quarter, but in terms of the ramp, they’ve gone up over the last two or three quarters. It’s been pretty successful introductions and that’s really only the beginning. I mean, there are numerous manufacturers around the world using different applications in micro-processing and micro-electronics that are really very impressed with those devices. So we’re not yet into multiple unit orders with OEMs. On the Seam Stepper, we’re still at very early stages there in terms of total number of units supplied to different people in Europe. I think we’re probably at five or six units of Seam Steppers supplies. We hope that business runs into being more than a 100 units a year. It’s very difficult to say exactly when that’s going to happen, but each of those Seam Stepper’s as well drives laser sales, high-power laser sales, you know three, four and maybe even higher power, kilowatt power.
Avinash Kant – D.A. Davidson: Okay.
Valentin P. Gapontsev: The advantage of fiber laser, this new fiber was against of the YAG flash pumped lasers so enormous and deliverable, but the most integrated which use such kind of devices they produce only YAG lasers so they really compare with you operate the most of market share. But it takes some time because they won't get a choice into the nearest future because the advantage is enormous.
Avinash Kant – D.A. Davidson: Thank you so much, Valentin. And, Tim by the way, what’s the tax rate for the rest of the year?
Timothy P.V. Mammen: We are modeling at 30.7% for the full year.
Avinash Kant – D.A. Davidson: Thank you so much.
Operator: Our next question comes from Joe Maxa with Dougherty & Company. Please proceed with your question.
Joe Maxa – Dougherty & Company: Hi, thank you. Most of my questions have been answered. But I did want to ask, see if you could talk a little bit more about your Russian opportunity. Has the RUSNANO partnerships add meaningfully to your business and then your longer term opportunities there?
Valentin P. Gapontsev: In Russia, we started to view some advantage with our partnership with RUSNANO (inaudible), but even without the RUSNANO we made enormous progress during the last six months in Russia. We create now somewhat a very large program for different application and for refurbishing Russia engraving industry and so during next two, three years our sale in Russia will increase dramatically in the area where we only one national Russian manufacturer of this technology, on laser technologies. And in Russia also we really invest a lot and develop on the full complete solution integrated system, which have really good result now.
Joe Maxa – Dougherty & Company: What were your sales, can you give me an idea what the sales were in the Russian geography in the quarter.
Timothy P.V. Mammen: I can’t remember most of (inaudible) top of my head; I think they were around $8 million.
Joe Maxa – Dougherty & Company: And how does that compare with I mean…
Timothy P.V. Mammen: That’s up over a 100%.
Joe Maxa – Dougherty & Company: Okay.
Valentin P. Gapontsev: Total sales to Russian company are now within the $30 million per quarter, but the one set of this delayed sale in the Russia was second sales its expert outside of Russia or for the finished product in one (inaudible) expert of components optical components to German company.
Joe Maxa – Dougherty & Company: Thank you very much.
Operator: And our last question comes from Mark Miller with Noble Financial. Please proceed with your question.
Mark Miller – Noble Financial Capital Markets: You are strong in Europe and some of the other firms in Europe, general industrial were reporting weakness such as Philips, and what do you attribute that to, are you really gaining substantially from the converging for traditional welding to fiber laser-based welding, just curious about the strength of Europe?
Timothy P.V. Mammen: Yeah. I think that’s a lot of not just the welding but also cutting applications in Europe where we with very early stages in penetrating that market. I think also some of our customers in Europe are also particularly in Germany, Germany is a great exporter of product, they’re not necessarily reliance upon you know just simple demand in Europe driving our business there. And then we have quite a lot of specialty applications, for example, we have an application called sintering, which is high-speed deposition and that’s performed well through the first half of the year and actually our printing business it’s not a massive business, has also a performed strongly. So I think penetration and diversity of applications in Europe where the advantages of the fiber laser are particularly important and then also our customers are to a certain extent export focus, so there in turn are not just depended up the strength of the European economy.
Mark Miller – Noble Financial Capital Markets: Thank you.
Operator: At this time, we have reached the end of the Q&A session. I will now turn the conference back over to Dr. Gapontsev for any closing or additional remarks.
Valentin P. Gapontsev: Thank you again for listing in your – to the progress which have made in the quarter. We look forward to speaking with you again formal in the completion of Q3.
Operator: And that concludes our conference call. Thank you for joining us today.